Operator: Good evening, ladies and gentlemen. Thank you for your patience, and welcome to Orange's Full Year 2025 Results Conference. For your information, this conference is being recorded. [Operator Instructions] The call today will be hosted by Christel Heydemann, CEO; and Laurent Martinez, CFO, with other members of Orange's Executive Committee for the Q&A session that will start after the presentation. Thank you, and let me hand over the floor to Christel Heydemann.
Christel Heydemann: Good evening, and thank you for joining our 2025 results presentation. These 2025 results successfully conclude our 3-year Lead the Future plan, which has been marked by consistent execution and focus on value creation. All our key objectives have been met or overachieved. We also finished the year with sustained strategic activity. In Spain, we signed a binding agreement with Lorca to acquire full ownership of MASORANGE by acquiring the remaining 50% stake in the joint venture for a price of EUR 4.25 billion. With this operation, Spain will become our second largest market in Europe, and we will be able, upon closing, to capture 100% of MASORANGE value creation. PremiumFiber, the co-owned FiberCo with Vodafone and GIC, began operations in Q4. With over 12 million premises and nearly 5 million connected customers. This is the biggest FibreCo in Europe in terms of customers. In France, we submitted in October, together with Bouygues Telecom and Free Group Iliad, a joint nonbinding offer to acquire a large part of Altice activities in France. In a challenging competitive environment, this deal would allow us to strengthen investments in France while maintaining a competitive ecosystem for the benefit of consumers. Due diligence works have been initiated in early January 2026. There is no certainty that this process will result in an agreement. Back to our 2025 results, we are really pleased to report a robust commercial performance in France, Europe and Africa, Middle East, fueling strong results fully in line with our guidance. After 2 consecutive guidance upgrades this year, full year EBITDAaL grew by 3.8% with a solid 0.9 point margin rate improvement. Organic cash flow reached EUR 3.7 billion, representing more than 8% growth year-on-year, overachieving our Lead the Future guidance. Let's now review our strong full year and Q4 results. On the top line, the group delivered EUR 40.4 billion in revenues, representing a 0.9% increase, driven by growth in retail and MEA. EBITDAaL performance is up plus 3.8% for the full year. France grew at an accelerated pace. Europe's growth remained solid and Africa, Middle East continues to perform strongly in the double-digit territory. Finally, Orange Business further improved its EBITDAaL trend. We maintained discipline on eCapEx with eCapEx to sales at around 15%, in line with our target. Organic cash flow reached EUR 3.7 billion, rising by more than 8% and well in line with our annual goal of at least EUR 3.6 billion. Our free cash flow all-in stands at EUR 2.8 billion, Our balance sheet remains robust with a net debt-to-EBITDAaL ratio of 1.8x. We also fully achieved our 2025 greenhouse gas emissions target on all scopes. Lead the Future has built a strong, sustainable momentum across the company, uniquely positioning Orange on its markets. With a powerful brand, cutting-edge networks and our global teams, we are now serving 340 million customers worldwide. We are stronger in our core business, more efficient in our operations and financially healthier. We have been very active in in-market consolidation across Europe, notably through the successful creation of MASORANGE, now the leading operator in Spain. We are about to get full ownership of this operation, delivering synergies at full speed. I continue to advocate Europe to review its regulatory framework as we believe a strong digital and telecom ecosystem is essential for enhancing competitiveness in the region. Over the past 3 years, we have strengthened our leadership in NPS across 16 countries and delivered solid retail performance with an outstanding double-digit growth in Africa, Middle East and leadership of Orange Cyberdefense. All of this has been achieved by maintaining a solid balance sheet while owning our infrastructures, which is a key differentiator. FTTH deployment is almost done in Europe, and we now have approximately 100 million FTTH connectable homes. Our primary focus over the period has been execution. We streamlined our portfolio with the exit of Orange Bank in Europe, the sale of OCS and Orange Studio in 2024 and the continued transformation of Orange Business. Additionally, we accelerated efficiency through a major workforce planning agreement in France, simplified group processes and maintained a relentless focus on cost optimization and operational efficiency. Financially, free cash flow all-in has grown significantly by 74% over 3 years, translating into an additional EUR 1.2 billion in cash. The dividend increased by 7% over the last 3 years, while total shareholder return surged by 82% in 3 years. We are very proud of these achievements. We have now very solid foundations for our next strategic plan, which we will present to you tomorrow. Looking at our sustainable performance, we all made significant achievements over the last 3 years, and we exceeded our 2025 targets. Greenhouse gas emissions are down 49% on Scope 1 and 2 compared to 2015. And Scope 3 is down 16% compared to 2018. Those results reflect all the efforts and levers activated, as for instance, our partners to net zero carbon program for which we signed 7 partnerships. We are committed to our mission to reduce the digital divide and have increased 4G population coverage in MEA to 80%. Regarding digital inclusion, more than 3 million people benefited from free digital training since 2022. Finally, as part of our trust development strategy, we continue to launch new offers for youth protection and B2C cybersecurity. And in December, we appointed a Chief Trust Officer, Guillaume Poupard, to accelerate this strategy. I will now hand over to Laurent for the financial review on Slide 8.
Laurent Martinez: Thank you, Christel, and good evening, everyone. Let's start on revenues, up 0.9% in 2025 at EUR 40 billion, fueled by robust service growth of 2%, which offset the expected wholesale decline. From a segment perspective, revenue growth is driven by Africa and Middle East, outstanding double-digit growth, and Europe at plus 2%. In France, retail ex PSTN is up 0.6% as expected, and was offset by anticipated decline in wholesale. Orange Business is still impacted by portfolio pruning and by the difficult IT market and French macro environment. On efficiency, we have delivered strong results and achieved our 3 years net saving target of EUR 600 million. This success has been driven by strong operational efficiency leading to a solid improvement in the EBITDAaL margin of close to 1 point in 2025. Regarding our procurement initiative, we are well on track to meet our midterm target of EUR 700 million, and we exceeded EUR 300 million of value created, thanks to AI in 2025. This sets the stage for the next phase of efficiency, which we will present tomorrow at our Capital Market Day. Moving to EBITDAaL, growth reached 3.8% for this year, strong result, which is driven by outstanding double-digit performance from Africa and Middle East, a continued solid growth in Europe and a positive EBITDAaL momentum in France. Finally, Orange Business continued its EBITDAaL improvement trend despite current macroeconomic headwinds. Turning to net income. '25 net income is driven by EBITDAaL step-up, offset by tax and by 3 main exceptional items: the booking of a provision related to the Senior Part-Time for EUR 1.2 billion net of tax, the impairment of Orange Business activities for around EUR 330 million, driven by market evolution, and the start of depreciation of the copper dismantling asset booked in 2025 for around EUR 370 million. Related to copper in France, 2025 marked the beginning of the [ industrial ] phase of copper shutdown, in line with the decommission plan announced in 2022. As part of this process, we have recognized, as per IFRS standard, a provision of EUR 1.7 billion in '25, representing the best estimate of the dismantling cost. This provision will be reversed as real cost occur. In symmetry to this provision, a dismantling asset of EUR 1.7 billion has been recorded and will be amortized on a roughly linear basis until 2030. In parallel, to ease the analysis of our underlying performance, we introduced new indicators, including -- excluding specific elements, the adjusted net income and adjusted earnings per share. Altogether, the adjusted net income amounts to EUR 3.1 billion in '25, considering around EUR 1.95 billion of adjustment mainly driven by the 3 exceptional items of '25 that I just described. Let's move to CapEx. We maintained our disciplined policy with 15% eCapEx to sales ratio. We pursued our investment in Africa and Middle East to support our strong revenue and decrease CapEx in all segments. Excluding Africa and Middle East, our group eCapEx decreased by more than 3% year-over-year. On organic cash flow, the organic cash flow is up EUR 280 million, reaching EUR 3.7 billion, well in line with our guidance of at least EUR 3.6 billion. This strong growth is mainly driven by EBITDAaL increase. Free cash flow all-in reached EUR 2.8 billion, with a slight decline year-on-year due to the expected phasing telco license payment between '24 and '25. Net debt is stable and stands at 1.8x EBITDAaL, in line with our guidance of around 2x. We are very proud to have successfully issued 2 Jumbo bonds at the end of '25 and early '26, amounting to EUR 5 billion and $6 billion, both of them massively oversubscribed. This achievement secures the upcoming refinancing of MASORANGE debt and demonstrate the strength and attractiveness of our group on the debt market. Moving to the business review and starting with France. The competitive environment remains generally stable with sustained competition on the low end. In this context, we are laser-focused on our efficient commercial strategy grounded in segmentation, strong customer loyalty and value. This approach has driven robust commercial performance this year. This quarter, we maintained positive momentum with 134,000 mobile net adds, 315,000 on fiber and record since the last quarter's 2022 and 25,000 on convergence. This performance is fueled by positive result on both Orange and Sosh brands and effective churn management with mobile churn reducing by more than 2 points year-on-year. Convergent ARPU at close to EUR 79 continue to grow and is up 1.2% year-on-year in Q4, while mobile and fixed broadband ARPU declined year-on-year, reflecting the mix effect and our strategy to attract customers in all segments and then upsell and cross-sell. Overall, we continue to demonstrate our leadership and innovation in France. We are, once again, recognized by Arcep as the best customer service and for the 15 consecutive time as the best mobile network. We also have launched an innovative direct-to-device satellite SMS offering and successfully tested next-generation GPON fiber technology. Moving to the financials. Our efficient commercial strategy led to a 0.6% growth in retail ex PSTN revenues in '25 and 0.5% in Q4, as expected, outperforming all the players of the market in a challenging environment. As anticipated, revenues remain impacted by the structural decline in wholesale. In Q4, this decline was offset by slightly more cofinancing received this quarter. 2025 also marks the beginning of the technical closure of copper with more than 200,000 premises completion. The robust improvement in EBITDAaL trend in '25 and operating cash flow growth is driven by rigorous cost management with a significant 4% OpEx reduction over the year. This translates into a 1.1 point EBITDAaL margin improvement and an increase of close to 3% of EBITDAaL minus CapEx. Turning to Africa and Middle East, which continues to deliver a very strong performance, demonstrating once again our positive momentum. Revenues are up double digits for the 11th consecutive quarters, driven by our 4 key drivers. Thanks to revenue growth and strict cost control, we delivered double-digit EBITDAaL growth in 2025 for the sixth consecutive year, raising the bar of EBITDAaL margin to above 39%, up by 0.6 points. EBITDAaL minus CapEx is up at 17% on the FX comparable basis and 14% on a historical basis, leading to a strong cash generation in [ euro ], our top priority for MEA. Moving on to Europe. Revenues are back to growth, increasing by more than 2% in '25, sustained by services and IT&IS, thanks notably to large deals in Poland and Romania. Services remain strong, fueled by effective volume value strategy, an increase of customer base by around 700,000 customers in 2025. Over the quarter, net adds remain robust, with mobile net adds above 100,000. Convergence revenues are up by 6% over the quarters with net add at 32,000 and growing ARPU, notably in Poland. EBITDAaL reached EUR 2 billion, up 3.2% in 2025, and EBITDAaL minus eCapEx is up by more than 12%. Moving to Orange Business. Revenues are still impacted by last year's portfolio pruning and by the French macroeconomic environment. While the French market remains difficult, international segment of the business is showing clear signs of improvement as reflected by a win ratio of close to 50%. Orange Cyberdefense continued to grow sustainably at 7% in 2025. From a value proposition perspective, our new secure connectivity offer is a significant success with over EUR 240 million in orders this year and nearly 60% customer growth in second half of 2025. With this new modular platform, our clients now have the opportunity to use connectivity as a service, offering self-service, dynamic pricing and AI-driven automation. Together with Orange Cyberdefense, we are driving growth and profitability with our combined offers, leveraging both telco and cyber strengths. We are stepping up as well on our new flagship products such as our trusted AI platform, Live Intelligence. In that context, the EBITDAaL trend at minus 6% year-on-year is improving for the third consecutive year, while not fully at our initial 2025 target. Let's turn to Spain. On a stand-alone basis, MASORANGE fully achieved its 2025 ambition. In particular, the company delivered above the targeted EUR 300 million in cumulative synergies at the end of the year. From a commercial standpoint, we achieved strong net adds in the mobile segment and maintained stable volume in fixed broadband. Revenues are up by 0.7% in the fourth quarter, top line benefiting from strong growth in both B2B and our new business initiative, offsetting the challenging telco retail market. adjusted EBITDA minus recurring net CapEx is up 10%, in line with our 2025 outlook. Finally, proceeds from the FiberCo transaction resulted in a significant deleverage with a net debt to adjusted EBITDA now at 3.6x from 4.5x at the end of 2024. Moving to a word on PremiumFiber. We are very pleased to have successfully completed this NetCo transaction closing at the end of the year, maximizing the value of the largest fiber network in Spain. Going forward, the impact of the rental fees to access fiber premium network will be broadly cash neutral, thanks to the reduction in interest costs driven by the strong deleveraging. With this, I hand over back the floor to Christel for the conclusion.
Christel Heydemann: Thank you, Laurent. We are proud of these strong 2025 results and the achievements over the past 3 years. They provide a solid foundation for our next plan, which will be presented tomorrow. Laurent, Jerome, Yasser, Meini and I are now ready for your questions. Please note that we will only answer questions related to full year '25 results. All forward-looking questions will be addressed tomorrow.
Operator: [Operator Instructions] Our first question today comes from Akhil Dattani from JPMorgan.
Akhil Dattani: Christel, firstly, one for you, if I can. You mentioned in your opening remarks that you started due diligence on SFR with the consortium in January. You may have seen the press reports that have come out in the last few weeks suggesting that due diligence has been closed and that there's a chance of potentially quite a fast deal close. Now I'm sure you weren't able to comment too specifically, but can you sort of give us a bit of color on exactly what's been going on? And if, high level, there is anything within that, that is -- you can help us with to better understand what's going on? And then the second one was on MASORANGE. I saw helpfully on Slide 32, you've given us pro forma financials for the asset. I just wanted to better understand a little bit what you've given us? And what I'm trying to understand is, firstly, the EBITDA impact from PremiumFiber EUR 350 million is a bit higher than I thought. If you could maybe just help us understand what's in that just so we understand if that's a reasonable starting point for going forward? And I was always -- also interested to see that there's no CapEx that moves to PremiumFiber, so maybe you can help us understand why that is?
Christel Heydemann: Thanks, Akhil. So on SFR, as we communicated a few weeks back, we have started due diligence work early January. And to be fair, those discussions and due diligence and exchanges are still continuing. So I was not the source of the press report that you saw, but clearly, the legal and financial terms of the transaction have not yet been agreed upon, and we are still discussing and working on due diligence. So nothing has been concluded. And as we said, it's still too early to say whether or not we will be able to reach an agreement. On the MASORANGE pro forma number, Laurent?
Laurent Martinez: Yes. Akhil, so EUR 350 million is a good proxy in terms of indeed lease costs moving forward. And of course, there will be a CPI inflation on top of it over time, obviously. So that's a good benchmark. And in terms of CapEx, Meini, maybe you can say a word, but there is very few CapEx attached to the impact of this.
Meinrad Spenger: So this year is basically no CapEx assigned to PremiumFiber. And in general, the CapEx intensity for MASORANGE is very low.
Operator: Our next question is from Stephane Beyazian from ODDO.
Stéphane Beyazian: Can I ask you if you can comment on the competitive environment in France. We've seen a little bit more pressure on your non-convergent ARPUs in Q4 and in the past few days, or perhaps today, we've seen also one offer a bit more aggressive from one of your competitor in the fixed market. So I was just curious if there's anything you could comment overall on the competitive environment, especially for perhaps the first quarter, perhaps the market is a bit more softer than in the past. And my second question is regarding to capital expenditures. It's interesting to see that it was down in the second half of 2025 in Europe at business services and in carrier services. Without obviously telling too much on what you will be saying tomorrow, but I was just curious if there was anything to mention specifically for the second half? Or you believe that this is part of the savings that you're doing and potentially that could continue in the future?
Christel Heydemann: Thank you, Stephane. So on the French market, and I will start and then Jerome can comment further. But generally speaking, as we said, the low end of the market, be it broadband or mobile, remains competitive. We have not seen an increase. Actually Q1 is, as usual, a bit less intense in terms of promotion than the Q4 and the end of year season. But we have not seen, I would say, a drastic change from the overall environment, which remains competitive on the low end. And when it comes to our ARPU's evolution, as we've said, there is nothing that wasn't planned. And this is the evolution of the mix, and because we play on the volume and value, and we acquire customer, including low-end price customers, but then our strategy is to upsell them. Mechanically, we are feeding the growth also through convergence, and you see the continued growth of our convergent ARPU, but we see a small impact on the ARPU evolution in mobile only and broadband only. Convergent remains the bedrock of our growth strategy, and that's 31% of our total revenue and very important. Jerome, if you want to...
Jerome Henique: Thank you, Christel. I think you said it all. It's an overall stable market, still quite aggressive on the low end, but all stable on the high end, particularly on fixed broadband. Of course, we adapt to shield our market share. But as you saw, we had remarkable performance on sales, on commercial performance during the quarter. And about the ARPU, I think it's worth saying that for fixed broadband, it's stable quarter-over-quarter. So we mentioned last quarter the decrease year-over-year, but on a quarter-over-quarter basis, Q4 versus Q3, we remain stable. And as Laurent mentioned, we use of course entry-level pricing for fixed broadband and mobile to attract customers. And then we upsell them on higher packages and particularly on convergence, and this is why you see more value uplift on convergence and an increase in the convergence ARPU.
Christel Heydemann: On the question CapEx, Laurent, if you want to -- H2 CapEx trend?
Laurent Martinez: Yes. So of course, we continue to optimize our CapEx evolution, and you spotted the one in Europe. So we continue to optimize this. Of course, we'll come back to you with more depth on that tomorrow in terms of forward-looking statements. But you see, of course, in H2, the first perspective of our CapEx optimization.
Stéphane Beyazian: And specifically at Orange Business Services, was there a decision in order to protect the free cash flow generation, strategic decision to stop investing, I mean I exaggerate, obviously, but a strategic decision there?
Laurent Martinez: No, no, no strategic decision, Stephane. This is more a phasing of our CapEx projects. Some of them are customer related. So it's purely phasing.
Operator: Our next question is from Roshan Ranjit from Deutsche Bank.
Roshan Ranjit: I've got 2 questions, please. And perhaps just sticking with the French KPIs. I guess for the last 12 months, we've been talking about slowing overall market volumes, yet this quarter, as we saw, I think, in Q1, Q2, you had taken market share. And in particular, the record fiber ads, I think, since the end of Q4 '22. So can you tell us what's happening there, particularly on the fiber side given the mature end market? Has there been a change in strategy? What is driving the customers to kind of take fiber now versus 12 months ago? And secondly, thank you for providing the net income bridge on Slide 11. One question just around the copper decommissioning component. Should we expect that to continue for the next few years? And tied to that, when should we start seeing the benefits on the OpEx level from those lower costs from switch off the copper network?
Christel Heydemann: Thank you, Roshan. On the French KPIs, I think Jerome can provide you more details, but that's really long-term work that we've done on our quality of operation, on the shortening the timing between a customer signs up for broadband and then can be can be connected, and a lot of work focusing as well on, of course, the copper decommissioning that's also feeding broadband growth. But I'm sure, Jerome, you have a lot more details on that.
Jerome Henique: Yes, maybe just a thing that our sales machine is working particularly well as you underlined and with a very strong adds momentum during Q4 in all segments, convergence, fixed broadband with very strong performance on fiber and mobile as well. Mobile net adds are comparable to Q3. Of course, we are protecting value while making sure that we are attracting new customers and having a strong market share on gross adds. And as Christel said, this is the result of, let's say, long-term work on our commercial channel, sales channels, [indiscernible] shops, but as well digital and all channels. And this is the result as well of, I think, very positive image in the market of Orange as the best operator in terms of quality of service recognized by Arcep as mentioned by Laurent. And we know that those days customers are looking for price, but they are looking as well for quality. And this is a clear differentiation for us, which translates into the best NPS in the market as well as different awards and recognition from the regulator.
Christel Heydemann: Thank you, Jerome. On copper decommissioning, of course, I mean, this program was launched a few years back and it's going to last until 2030. So for all forward-looking OpEx reduction and efficiency impact, of course, we will discuss it tomorrow. But on the closing of 2025 and the provision, Laurent?
Laurent Martinez: Yes. So Roshan, just to clarify, so we have booked EUR 1.7 billion into our assets, which will be depreciated over time up to 2030, so around EUR 360 million in '25, and you should expect something roughly linear until end of 2030, which will be impacting our net income.
Operator: [Operator Instructions] Our next question comes from Josh Mills, BNP Paribas.
Joshua Mills: Two from my side. So Firstly, on the French service revenues ex PSTN, we saw a bit of an improvement in Q4 versus Q3. I just wanted to check, are there any one-offs there regarding current investment, fiber payments, anything else we should be aware of? Because given the commentary last quarter on the commercial trends and the ARPU declines, we're seeing this quarter, it seems to be surprising that service revenues have picked up in the fourth quarter? And then secondly, perhaps a question for Meini on the MASORANGE business. So it looks from my tracker at least, like we saw a bit of a deterioration in retail service revenues this quarter and EBITDA on a year-on-year basis is down 17%. Now I know EBITDA in MASORANGE has been very volatile over the year, but are there any drivers within that minus 17% year-on-year quarterly EBITDA decline? And in particular, does that include the 1 month of fiber copayments, which I think you've highlighted in the slides as well? So France and Spain would be my questions.
Christel Heydemann: Thank you, Josh. So on the retail French services performance in Q4, we continued to have a positive growth this trimester, of course, excluding PSTN, and this is driven by good volumes and our convergent ARPU growth and our efficient commercial strategy. Back to your question, there is no one-off explaining this performance. And as you know, we were guiding when we had our H1 and Q3 results, we were saying that the environment would be flat to small positive for retail services revenue, and that's what we see for the full H2. So very consistent and in the end, it's the outcome of our efficient commercial strategy. On MASORANGE, Meini?
Meinrad Spenger: Yes. Thank you, Joshua. First of all, overall, the big picture, we are growing around 3% in revenues and around 10% in operating cash flow. So it's a very positive result for us. Regarding Q4, we don't see a negative trend. We see some, let's say, special seasonality effects, both in revenues as well as in EBITDA. In terms of revenues, we have seasonality in Enterprise Solutions and in wholesale, and wholesale, by the way, low-margin business because it's international carrier services related. In Retail Services, as you can see, we have a stable FMC ARPU, which is positive in a very challenging environment. However, we have some negative effects on mobile and fixed-only ARPU. However, we have 84% of our client base in convergency, so it only affects a minor part of our client base. In terms of EBITDA, again, we compare to a very strong Q4 '24. And that was particularly strong because of some seasonality effects because of accounting effects. In Q4, we reversed an excess provision recorded in previous quarters related to content costs. We have been especially prudent regarding the football soccer rights, which are quite expensive in Spain. And we have done the reversal of this provision in Q4 last year. And then very important, we are doing and reinvest -- we are doing an incremental investment in our growth areas in B2B and the new businesses where we have short term some negative effects, but we believe mid- and long term, it's the right thing to do.
Operator: Our last question this evening comes from Ondrej Cabejsek from UBS.
Ondrej Cabejšek: Two questions for me, please. Just one following up on the question around M&A. My question, Christel, is, basically, we've seen a lot of conflicting messaging from various stakeholders. I believe, for example, the French government seems to be supportive in the situation, the European Council seems to be support -- in support of M&A, even the head of the commission seems to be in support of M&A, but then we've seen other very important stakeholders such as the DG Comp or the mission responsible for consolidation put out less encouraging messages. So I guess what is your view of the situation more broadly? That's question Number 1. And the question Number 2 is basically on the Spanish situation where once the deal is closed, as you're saying, sometime around 2Q, how fast do you think you will be able to refinance the debt back to like an investment grade and thus add to the free cash flow potential of this unit?
Christel Heydemann: Thank you, Ondrej. On the M&A and conflicting or sometime different messages from different stakeholders, let's be, I mean, very clear. First of all, I mean, we've been advocating for how important that is to just realize in Europe that we cannot continue with so many fragmented markets and so much competition when the rest of the world is actually acting differently. It's not just me talking. You've seen the Mario Draghi Report, the Enrico Letta Report, And this is something where I think there is a clear awareness politically. And that's true from the Brussels, I would say, leaders, that's also true from country leaders. And if I step back to where we were when we were negotiating on the MASMOVIL-Orange merger, we had a strong support from the Spanish government. We also had support politically, I would say, from Brussels. Despite that, we had to go through a long and probably too long, but still concluded positively and got the approval from DG Competition. So our take on this one is there is definitely awareness. We're hear supporting messages from political leaders. That being said, we will not wait, let's be clear, and that's why we are actively discussing in France. We've been driving consolidation as well in Belgium, in Romania. We are not waiting for, let's say, merger guidelines to be fully revisited. And we are of the opinion that concrete test cases will be the best way to prove our case that mergers, national consolidation creates efficiency and efficiency is the best way to continue to invest and it's the best way to secure, in the long run, low prices for consumers. So that's something that we are very much convinced about, and we see that based on facts after the merger of MASMOVIL and Orange in Spain. So I think we are confident, but again, you cannot expect DG competition, and I would say experts who have been working one way to change from one day to another. So it's based -- it has to be based on concrete facts. And that's our opinion. On the MASORANGE strategy, I would say, on the refinancing, Laurent?
Laurent Martinez: Yes. Ondrej, so to make it simple, just to have the high-level picture, we have EUR 9.4 billion of debt at MASORANGE, plus around EUR 4.2 billion of the price to Lorca. So we are talking about around EUR 13 billion. But as I explained, we have issued in advance 2 Jumbo bonds for EUR 10 billion end of '25, early '26. So you see a very large majority of this refinancing is feasible at closing, and we'll be doing that at closing. We have as well a strong liquidity on our side to get to where we want to be overall. Just to take a note that this refinancing will yield interest savings for MASORANGE. And this will offset nicely the lease that we discussed in your question, the question #1, for the PremiumFiber. So that will be a good synergies that we'll be implementing post closing of MASORANGE.
Ondrej Cabejšek: In other words -- can I just follow-up that. In other words, you see no kind of obstacle to the full ERU 13 billion roughly being refinanced almost immediately because you've secured some financing already, but the rest, you think, will not be a problem in terms of any -- okay.
Laurent Martinez: Yes. We have EUR 10 billion out of EUR 13 billion plus extra liquidity we have. And then we will have the flexibility until closing either to keep a bit of -- a small bit of the current MASORANGE financing or basically to have other solutions. But globally, the financing is secured and completed.
Operator: That concludes the Q&A with financial analysts. Journalists, as a reminder, please stay connected. Your session will start shortly. I will now hand it back over to Christel Heydemann for any concluding remarks.
Christel Heydemann: Thank you. We are pleased with our full year results, strong full year results and lead the future achievements, which position us very well to meet upcoming challenges and seize new opportunities in our markets. Thank you, and I look forward to seeing you tomorrow at 9 a.m. for our Capital Markets Day.